Operator: Welcome to the Hackett Group Fourth Quarter Earnings Call. Your lines have been placed on a listen-only mode until the question-and-answer session. Please be advised that the conference is being recorded. Hosting tonight's call are Mr. Ted Fernandez, Chairman and CEO; and Mr. Rob Ramirez, Chief Financial Officer. Mr. Ramirez, you may begin.
Rob Ramirez: Thank you, operator. Good evening, everyone, and thank you for joining us to discuss The Hackett Group's fourth quarter and full year 2014 results. Speaking on the call today and here to answer your questions are Ted Fernandez, Chairman and CEO of The Hackett Group and myself, Rob Ramirez, CFO. A press announcement was released over the wires at 4:09 PM Eastern Time. For a copy of the release, please visit our website at www.thehackettgroup.com. We will also place any additional financial or statistical data discussed on this call that is not contained in the release on the Investor Relations page of our website. Before I begin, I would like to remind you that in the following comments and in the question-and-answer session, we will be making statements about expected future results, which may be forward-looking statements for the purposes of the federal securities laws. These statements relate to our current expectations, estimates and projections and are not a guarantee of future performance. They involve risks, uncertainties and assumptions that are difficult to predict and which may not be accurate. Actual results may vary. These forward-looking statements should be considered only in conjunction with the detailed information, particularly the risk factors contained in our SEC filings. At this point, I would like to turn it over to Ted.
Ted Fernandez: Thank you, Rob, and welcome everyone to our call. As we ordinarily do, I'll start by providing some quarterly highlights, and that will include not only the fourth quarter, but will have some comments on our fiscal year as well. Then I'll ask Rob to come back and provide detailed quarterly and fiscal year results. He will cover operating results as well as cash flow and also provide his comments relative to our guidance. Rob will then turn it back over to me. I will provide some markets and strategic overview comments. We will then turn it back over to the operator and conduct our Q&A. So, let me first start with our quarterly and fiscal year highlights, and again, welcome everyone to our fourth quarter earnings call. This afternoon, we did report revenues of $60.3 million, up 15%, and pro forma earnings per share of $0.17, up 113%, both above the high end of our guidance. As planned, improving results in Europe and strong US momentum drove our results with 89% of our EPS improvement coming from improved operations with the remaining 24% coming from lower global tax rate. As expected, North America was up 12% with both Hackett and ERP up nicely, driven by our business transformation, EPM or Enterprise Performance Management, and SAP Groups. European performance also improved growing 14% on an organic basis and benefiting from favorable year-over-year comps. For fiscal 2014, the company's revenue were up 6% led by North American revenues which were up 9%, and international revenues which were down 9%, if you exclude the first quarter acquisition that we made. For the year, pro forma EPS was up 37%; 15% of that 37% coming from lower global tax rate. On the balance sheet side, the Board approved and paid our annual dividend of $0.12 in the fourth quarter, which represented a 20% increase over the amount paid in the prior year. As we've announced this afternoon along with our results, the Board has now approved a further increase to our annual dividend program increasing the annual dividend to $0.14 for an additional 17% [ph]. We will also be paying our dividend on a semi-annual basis. This increase was to continue reflecting our desire to reward shareholders that are long-term holders of our stock as part of our overall strategy to return capital to shareholders. On the investment front, we continue to see the synergies from our EPM, AMS acquisition that we closed in the first quarter. Additionally, we continue to develop and attract talent and expand our brand by continuing to build our proprietary best practices’ intellectual property. We continue to look for ways to leverage our IP to help differentiate and support the sale and delivery of our advisory and consulting offering. What is clearly different is that we now see the potential to leverage the same intellectual property through new external channels. I will comment about these opportunities in more detail in my strategic overview section of our call. I will also comment further on market conditions and any new specific go-to market initiatives, but first let me ask Rob to provide details on our operating results, cash flow, and also comment on outlook. Rob?
Rob Ramirez: Thank you, Ted. As I typically do, I'll cover the following topics during our call; an overview of our fiscal 2014 results as well as our 2014 fourth quarter results along with an overview of related key operating statistics. I'll also cover our cash flow activities during the quarter and I'll then conclude with discussion on our financial outlook for the first quarter of 2015. For purposes of this call, any references to Hackett Group will specifically exclude ERP Solutions. Correspondingly, I'll comment separately regarding the financial results of The Hackett Group, ERP Solutions, and the total company. Please note that all references to gross revenues in my discussions represent net revenues in addition to reimbursable expenses. Additionally, references to pro forma results specifically exclude non-cash stock compensation expense, intangible asset, amortization expense, other one-time acquisition related charges and gains, restructuring charges, and assumes a normalized 30% tax rate. Before I move to our fourth quarter results, I'd like to discuss a few highlights regarding our annual results for fiscal 2014. As Ted mentioned, annual revenues totaled $237 million, an increase of 6% over 2013. Pro forma earnings per diluted share were $0.56 in 2014 compared to $0.41 in 2013, an increase of 37%. Excluding the acquisition of the EPM Application Managed Services or AMS business purchased in 2014, North American revenues were up approximately 4% with international revenues down 9% for the fiscal year. Pro forma EBITDA for the fiscal year was $27.7 million, an increase of 13% over prior year. This also represented 13% of net revenues which was an 80 basis point improvement from fiscal 2013. During 2014, we continued to utilize our strong balance sheet and cash flow to return capital to our shareholders. We repurchased approximately 1.8 million shares of the company’s stock at a price of $6.07 per share for a total of approximately $11 million. In addition, during the fourth quarter, the company paid its annual dividend at $0.12 per share, an increase from the $0.10 per share in the prior year for a total of $3.5 million. I'll turn now to fourth quarter results. As I mentioned on our third quarter call when we discussed our fourth quarter guidance, the fourth quarter was negatively impacted by the typical seasonal increase in holidays and vacations utilized in both the US and Europe. Having said that, for the fourth quarter of 2014, total company gross revenues were $60.3 million, a 15% increase on a year-over-year basis and above our fourth quarter's guidance. Gross revenues for The Hackett Group, which excludes ERP Solutions were $49.5 million in the fourth quarter of 2014, an increase of approximately 12% on a year-over-year basis, and an increase of 6% excluding the EPM AMS acquisition made in the first quarter of 2014. Total company international gross revenues accounted for 20% of total company revenues in the fourth quarter, as compared to 18% in the fourth quarter of 2013. Excluding the EPM AMS acquisition, total international revenues primarily derived from Europe were up by 14% on a year-over-year basis partially due to a weak prior year comp. Hackett Group’s annualized gross revenue per professional was $342,000 in the fourth quarter of 2014 as compared to $332,000 in the fourth quarter of 2013, and $368,000 in the previous quarter. Gross revenue from our ERP Solutions Group, which consists of our SAP Reseller and our SAP Consulting and Applications Managed Services Group totaled $10.9 million up 28% on a year-over-year basis. ERP Solutions hourly gross realized billing rate per hour was $135 in the fourth quarter of 2014, as compared to $127 in the fourth quarter, 2013. This includes the impact of our offshore resources, which approximate 42% of our ERP implementation resources overall. ERP Solutions consultant utilization was 72% for the fourth quarter of the current year, as compared to 71% in the fourth quarter of the prior year. As we discussed last quarter, our acquisition of EPS AMS in 2014 along with expanded growth in our SAP AMS offerings has continued to increase the portion of our total Hackett revenues that relate to AMS. These services are provided to clients on annual contracts. Our current annual contract value now exceeds $16 million, up organically on a pro forma basis by approximately 28% on a year-over-year comparable. We expect AMS annual contract values to continue to grow as we move into fiscal 2015. Total company pro forma cost of sales, excluding reimbursable expenses and stock compensation expense totaled $32.3 million or 59.2% of net revenues as compared to $30.3 million or 64.3% of net revenues in the previous year. Total company consultant headcount was 762 at the end of the fourth quarter of 2014, as compared to 775 in the previous quarter and 702 at the end of the fourth quarter of 2013. The year-over-year increase is primarily due to the acquisition completed in the first quarter of 2014. Total company pro forma gross margin was 41% of net revenues in the fourth quarter as compared to 36% in the fourth quarter of 2013. Hackett Group pro forma gross margins on net revenues was 38% from the fourth quarter of 2014 as compared to 35% in the fourth quarter of 2013. ERP Solutions pro forma gross margins on net revenues was 50% in the fourth quarter as compared to 38% in the fourth quarter of the previous year. Primarily due to improved SAP software sales activity, which is normally a good indicator of revenue growth, with consulting and AMS services that come along with that? Pro forma SG&A was $14.9 million, a 27.4% of net revenues in the fourth quarter of 2014 as compared to $12.7 million or 26.9% of net revenues in the previous year. This increase in SG&A is primarily due to incremental cost relative to incentive compensation accruals and higher selling related expenses resulting from improved company performance. For the fourth quarter of 2014, interest expense on borrowings under our credit facility was $163,000 as compared to $111,000 in the fourth quarter of 2013. As a result of higher average debt balances in the current year. Total company pro forma net income for the fourth quarter, totaled $5 million or $0.17 per diluted share which was above our fourth quarter's guidance. This compares to pro forma net income of $2.4 million or $0.08 per diluted share in the fourth quarter of 2013. Excluding the benefit from a lower normalized tax rate, pro forma EPS was up 89% when compared to the previous year. As I discussed throughout the year improved Hackett European results along with the impact of the international revenues from the acquisition, as well as decreasing income tax rates particularly in the United Kingdom continued to have a beneficial impact on our consolidated tax rate. As European operating results return to historical levels, we expect our consolidated tax rate to continue to decrease. Total company pro forma net income for the fourth quarter of 2014 excludes an acquisition related bargain purchase gain of $1.8 million. Non-acquisition stock compensation expense of $1.4 million, acquisition related stock compensation expense of $775,000 and intangible asset amortization expense of $720,000. Pro forma results also assumes a normalized tax rate of 30% or $2.1 million. Pro forma EBITDA in the fourth quarter of 2014 was $7.9 million or 15% of net revenues as compared to $4.6 million or 10% of net revenues in the fourth quarter of 2013, an increase of 72%. GAAP diluted earnings per share was $0.16 for the quarter of 2014, as compared to diluted earnings per share of $0.04 in the fourth quarter of the previous year. During the fourth quarter, amounts relating to the first quarter acquisition were finalized. As a result, purchase consideration which was paid with restricted stock subject to vesting that was previously accounted as purchase consideration will now be reflected as compensation expense over its vesting period. This resulted in a bargain purchase gain on the acquisition of $1.8 million, $713,000 of incremental acquisition related stock compensation expense and $745,000 of incremental intangible asset amortization expense in the fourth quarter. These items have all been excluded from pro forma results. At the end of the fourth quarter of 2014, the company had approximately y$17 million of income tax loss carry forwards remaining in the US relating to both state and federal purposes and approximately $12 million in foreign tax jurisdictions respectively. As a result, for tax purposes we will continue to have the ability offset most of our US and international tax liabilities in the near future. The company's cash balances were $14.6 million at the end of the fourth quarter as compared to $10.6 million at the end of the third quarter of the current year. this cash increase in Q4 was primarily attributable to net cash generated from operations, offset by debt repayments, dividends paid, capital expenditures and repurchases of common stock. Net cash generated by operating activities in the fourth quarter of 2014 was $17.5 million which was primarily driven by decreases in accounts receivables as well as operating earnings adjusted for non-cash items. Our DSO or day sales outstanding at the end of the fourth quarter of 2014 was 61 days as compared to 67 days at the end of the previous quarter and 59 days at the end of 2013. During the fourth quarter of 2014, the company made debt repayments of $8.8 million on its credit facility. At the end of the fourth quarter, the company had $18 million of borrowings outstanding. Given our cash balances, this represents a net debt position of less than $4 million. Capital expenditures for the quarter were approximately $1.2 million, the increase over normal levels relates to rollout new laptops for consultants which occurs every three years to four years. During the quarter, we purchased 108,000 shares of the company stock at a total cost of approximately $700,000 or an average of $6.08 per share. Before I move to guidance for the first quarter of 2015, I would like to remind everyone the seasonality of our business relative to cost as we move sequentially from Q4 to Q1. Specifically consistent with our first quarter guidance provided in previous years. Our first quarter for 2015, will reflect a sequential increase in US payroll related taxes and the sequential buildup of our vacation accruals. Having said that, we expect total company gross revenues for the first quarter of 2015 to be in the range of $58.5 million to $60.5 million with a reimbursable expense estimate of 11% on net revenues. At the midpoint of our guidance, this would represent an 8% increase on a year-over-year. We expect North America revenues to be up, additionally we expect Hackett International revenues primarily driven from Europe to be up consistent with these Q4 results partially due to weak prior year comps. As such, we expect our pro forma diluted earnings per share in the first quarter of 2015 to be in the range of $0.13 to $0.15. Our pro forma guidance excludes amortization expense, total non-cash stock compensation expense and includes a normalized tax rate of 30%. As a result of our revenue guidance, we expect the pro forma gross margins and net revenues to be approximately 37% to 38% in the first quarter. We expect pro forma SG&A and interest expense for the first quarter to be approximately $14 million. We expect first quarter pro forma EBITDA on net revenues to be in the range of approximately 12% to13%. We expect our cash balances excluding the impact of any debt repayments or share buyback activity to be down on a sequential basis due to the payment of 2014 performance related bonuses. At this point, I'd like to turn it back over to Ted to review our market outlook and strategic priorities for the coming months.
Ted Fernandez: Thank you, Rob. As we look forward, we expect continued growth from our North American business across nearly all of our groups. We also expect activity to be stable to improving internationally as we expand our offerings abroad even if it comes with a more volatile decision making environment when compared to the US. One of the key drivers for our growth in North America has been the focus on our growing wedge offerings, which include our benchmarking and executive advisory services. Which we have accomplished by expanding our dedicated sales channel as well as our offering? Both of these offerings are highly differentiated in the market place and collectively grew over 15% in the fourth quarter and provide significant cross selling leverage for all of our other services. The other key driver of our growth strategy has been to continue to expand our market leading Enterprise Performance Management or EPM business. As I mentioned last quarter, in September we were recognized as Oracle's number one EPM Influence Partner of the Year in North America for the second year in a row. EPM now represents approximately 46% of our North American Hackett revenues. Additionally, the acquisition of our EPM, Application Managed Services Group early in the year provides us with both, the opportunity for recurring, AMS revenue as well as the opportunity to leverage offshore resources to deliver on our EPM implementation services more cost effectively. Both the extension of the capability in this area and the ability to leverage highly trained offshore resources very affectively add strongly to our ability to transform and implement our EPM Solutions. As we have mentioned all year, we believe that some of our international volatility maybe result of a more limited solution offering in Europe. We will continue to invest in the expansion of our EPM capability in Europe. We believe, but by more closely mirroring our US capabilities in Europe, we can improve our ability to grow in Europe and also further strengthen our global delivery capability in the space which are important to our large multinational engagement. Our strategy is to continue to build our brand by building new offerings and capabilities around our unmatched intellectual capital, in order to serve clients strategically and whenever possible continuously. We believe clients leverage our IP are more likely to allow us to serve them more broadly. IP based services enhanced our opportunity to serve clients remotely, continuously and more profitably. Our goal is to use our unique intellectual capital to establish strategic relationships with clients directly or through strategic alliances and channels and to further use that entry point to introduce our business transformation and technology consulting an AMS capability. Specific to new alliances and channels. We are not seeing new opportunities to use our IP, not only to enable us to differentiate our offerings and improve the sale of delivery of our offerings, but we now believe we could use our IP to help others sells and deliver their offerings more powerfully and thereby expanding their value had delivered to clients. These opportunities are in the early stage, but we hope to be able to provide more specific examples as the year unfolds. This strategy would allow us to increase our client base, profitability and increase our revenue per client. It would also represent an increase in recurring revenue due to the way these services are provided and contracted. The best example of this strategy continues to be revenue leverage we have experienced from our executive advisory client base. Specific to that client base, our long-term goal is to be able to subscribe an increasing percentage of our total annual revenues from clients, who are continuously engage with us through our executive advisory programs and eventually through our Hackett Performance Exchange. At the end of the quarter, our executive advisory members totaled 930 clients across 285 clients. In the quarter over 40% of Hackett sales were also advisory clients with continuous to support the leverage of this entry of IP wedge offering. On the Hackett Performance Exchange front, we continue to build our pipeline and believe these efforts will allow us to build the client base during the year and help validate our offering. We also continue to explore alliances that could allow us to expand the sale of this unique offering. As I have repeatedly mentioned this is an ambitious new offering, but it's successful it could enhance our business model by creating a powerful and possibly continuous relationships with clients. Although, we continue to learn on how best the sell and leverage this new offering. We believe that this new platform will become a critical component of all our benchmarking offerings over the next several years. Lastly, even though we believe that we have the client base, offerings and market coverage to grow our business. We continue to look for acquisitions and alliances that can strategically leverage our IP and that scope scale and capability which will accelerate our growth. In summary, we reported strong quarterly and annual results. We're also optimistic that the changes in investments we made throughout the year in our IP, in our sales channel, in our people specific the AMS investment in our EPM Group will lead to improving results. More importantly, I believe that we have never been in a better position strategically, a unique value of our IP and the potential it offers when coupled with our terrific talents and improving execution, our strong proof point. As always, let me close by thanking our associates for their tireless efforts and also urge them to say, highly focused on our clients, our people and the exciting opportunities available to our organization. Those conclude my comments, let me then turn it back over to the operator and we will conduct our Q&A. operator?
Operator: [Operator Instructions] our first question comes from Mr. George Sutton of Craig-Hallum. Go ahead sir, your line is open.
George Sutton: So as you talk about strategic alliances and channels, I wondered if you could just give us a better sense of what kinds of companies are you talking about? Are you talking about other consulting firms? Are you talking about technology providers? Are you talking about your customers?
Ted Fernandez: We've got a number of these, if you want to call it, ideas that we're exploring, but I guess the best example George is to say that there is clearly an explosion of cloud-based offering that are coming to the market, and these offerings are offering clients an opportunity to leverage software with a dramatically reduced capital expenditure, time of implementation, and then obviously giving them variable pricing based on users. When used as an example, when a company makes those, if you want to call it promises to a client or their ability to deliver that functionality, and as it tries to shorten and deliver on the timeline that is commensurate with those offerings, it appears to us that they could leverage intellectual capital similar to the one we used and have only used to-date internally to consult and to configure software for our clients. We believe that there may be an opportunity to pick that same intellectual capital, share it software solution providers, and have them increase the value that they extend to our clients, extend to their clients by not only talking about the ability that comes with their software but to somehow tie that delivery to some best practice configuration or process, an organizational process that would be, I'll call it common place within intellectual capital. Having said that, they are in early stages, but we believe the opportunity is there.
George Sutton: Okay, that helps to clarify. So relative to the upside that you saw this quarter and it sounds like you're continuing to see solid outlook. I'm curious, if we can really sum it down to what is driving that specific outperformance, and let me suggest one thing that we did notice, is your largest customer concentration, which is typically around 4%, did pick up to 6% this quarter, which could explain some of that. I wondered, if you could address that?
Ted Fernandez: No, from time-to-time, George, our individual largest client can be anywhere in that 5% range, but it can vary from 4% to 6%, and that simply could be a result of the individual effort of a client in a single quarter depending on when we're launching or concluding their activity, but no, the demand that we're experiencing, we believe is because our wedge offering, our growth in benchmarking and the number of clients that have now been utilizing us through our executive advisory offerings, who are getting to know and rely on Hackett. I'll call it strategically and that grows overtime, right? And specifically that offering hasn't been around as long as our benchmarking offering, but the combination of our ability to quickly help a client understand its opportunity to improve, help them prioritizes by looking at the -- our best practice intellectual capital and whether we share that with them in design or implementation is just simply giving us increased [indiscernible] and maybe time, maybe it's improved execution, but it's also resulting in some of these clients giving us slightly increasing amount of their wallet share on those opportunities. So it's a combination of all the things that we're trying to do for clients. It also comes from the fact that, as I believe you know, I mean the Enterprise Performance Management position that we have now captured in the marketplace, in this business analytics space, which is I'll call it in very high demand, has also given us a chance to engage clients more broadly, and it also gives us a chance to increase that total revenue per client. So, it's a combination of all the things in what I'll call core and the emergence of our EPM and Business Analytics business as a significant engine in part of our overall strategy.
George Sutton: Okay, very helpful, and one last question, if I could. You had begun to talk more about the pyramid structure relative to your people. I'm curious, if you made any progress this past quarter on that?
Ted Fernandez: We do, I think part of the reason I'll say it why we're optimistic about our opportunity to improve our performance in 2015 as it compares for 2014 is we think we made quite a bit of progress in trying to move from what I'll describe as a diamond shape of resource modeling to something more akin to a pyramid or triangle that would be more similar of our competitors that have more scale. So we expect, to see revenue growth, but we also expect to see margin improvement as a result of those things that I know you've been tracking and we work very hard on throughout 2014.
Operator: [Operator Instructions] our next question comes from Morris Ajzenman of Griffin Securities. Go ahead sir, your line is open.
Morris Ajzenman: Just a housekeeping question. You mentioned earlier European organic revenues of 14% and then North America 12%. Is that 12% organic or nominal?
Ted Fernandez: In which quarter, in the guidance or in Q4?
Morris Ajzenman: I'm sorry, I think you said in fourth quarter, European was up 14% organically.
Ted Fernandez: Organic, the US. Organic growth was it 6%, Rob? Hold on one second.
Rob Ramirez: North America was up 4%.
Ted Fernandez: Up 4% organically.
Morris Ajzenman: Okay. Looking to Europe, in this fourth quarter did it actually contribute to EPS and how does that compare to last year?
Ted Fernandez: Yes, it did and it was, if you remember last year. It was a significant penalty, so no the European pro forma, which as I told you, we started to see some of those benefits in Q3 continued into Q4.
Morris Ajzenman: So are you willing to share or not, what the contribution was in the fourth quarter?
Ted Fernandez: Lower than it was a year ago and it's - what would it be. It would be at about 35% of what it was, five years ago. Just to give you some perspective of where Europe is versus where it could be. So still lower than the prior year, but improving on a quarter-over-quarter basis in Q4 and we expect the same thing to happen in Q1.
Morris Ajzenman: Okay, dashboard I think previous quarter you said there were two paying customers, has that changed all, are any dynamics changing sequentially in improving manner that you kind of [indiscernible]?
Ted Fernandez: Well first of all, we've never provided any specific references to the number of paying customers, but we do have them. We continue to build on that capability, but as I mentioned last quarter. What we've been working on since basically the third quarter of this past year, is integrating that extraction capability into our core benchmarking offerings, with our goal of having our benchmarking offerings in 2016 having the full functionality of HPE. So that the client would have the option to both extract as well as populate the way, they do today with our traditional benchmark. Additionally, we continue to work aggressively to identify a alliance partner that would have stronger permission in selling software and simple to say that, we continue to look for those opportunities and I say, eventually we will find a partner.
Morris Ajzenman: Will 2016 be a year where we see a meaningful change in that operation contribution, is that?
Ted Fernandez: In my view it will only become meaningful, if we go to a large channel partner, that they would might and if you ask me, when we look at our 10% to 15%, if you want to call it long-term targets and improvements to EBITDA, cash flow and profitability. None of that 10% to 15% if you want to call target or opportunity has any contribution from HPE improved performance or any of the new ventures that we are currently exploring.
Morris Ajzenman: And lastly, I'm looking at this year the 4% organic growth in North America. Do you believe that's going to stay that level or do you see increase as the year moves on?
Ted Fernandez: Well, we do believe that it should be north of 5%, our Q1 guidance, Rob [ph] would you come back all of it is, organic obviously since we had the acquisition of the first quarter acquisition was effective January 1, last year. So our guidance that we provided if you take from low to high range that Rob provided that's 7% to 10% organic growth increase that we're expecting in Q1.
Operator: Our next question comes from Jeff Martin of ROTH Capital Partners. Go ahead, sir. Your line is open.
Jeff Martin: Ted, can you give us a bit more of a detailed update on international particularly Europe? You made some pretty abrupt and swift changes in the fourth quarter. I'm sorry, I believe it was the first quarter last year, but some detail on kind of how far you're along, if you think, you're all the way there and you just the sales efforts will help the improvements or where you're currently with Europe?
Ted Fernandez: We continue to work hard on European initiatives with the principle one being trying to build out our EPM capabilities there so. As you know Jeff, we've been investing in that throughout 2014 having said that, again when we look at the targets that we've said to improve, a profit cash flow, and EPS growth for 2015. They have very, very modest increases in revenue growth for Europe. So in other words, we want to continue to work hard and know there is an opportunity for Europe to breakout and make a significant contribution to our performance. We're simply not going to count on that continued performance to hit the kind of profitability, the growth and profitability targets that we've set for 2015.
Jeff Martin: And then, can you walk through by geographic you've got a couple of large concentrations looking into UK and Germany are two of the biggest, can you give us an update on those?
Ted Fernandez: The hard part is that, I really hate to be critical because the overall activity in Europe did not change a whole lot throughout 2014 and even when I look back to 2013, but what we did experience in 2012, 2013 and 2014 was the volatility in Europe. So it was because we saw that volatility that we simply said, we needed to risk a bait and we reduced the overall operating cost of that business, so that to the extent we did see volatility, that it wouldn't hurt us that it had hurt us in previous years. So activity in Germany and the UK and with clients and opportunities as remained, I'll call it okay. obviously, not nearly as strong as what we've experienced in North America over last three years, but what you see in Europe which we have not seen in the US now for a couple of years. Is this potential stall when some whether, if you want to call it external event. So you can talk about the some of the impact in Europe that expected as a result of sanctions being place on Russia, as a result of the issue in the Ukraine, which again for some clients it impacts their plan mid-year and it impacts decision making that's some of things. We are now making sure that, those things happen whether that's an existing event or new event, that to the extent it impacts us, it will be in material and small and that everything we're doing in North America and with our existing European clients will allow us to continue to grow profitability and cash flow consistent with our 2015 and long-term targets.
Jeff Martin: Okay and then with respect to headcount, you referred to taking that mostly because of acquisition. Do you see, in organic mean to add headcount on the professional side?
Ted Fernandez: The answer is, we do, but like everyone else we're trying to make sure that we don't get ahead of ourselves and jeopardize our performance. So the answer is yes and but it will be done cautiously to make sure that we don't comprise current year performance. And Rob is pointing out to me, that don't lose sight of the fact that, inside of the changes that we have made, is building out some of the lower levels within our organization. I don't even want to say consistent with the others. Our ability to get to something consistent with our competitors, we're still quite a bit ways often that, but those changes that we have started to implement throughout 2014, we expect them to improve our gross margin and profitably in 2015 and will continue to look, to drive from. I'll call it, a more traditional diamond-shaped resource model to something that resembles a pyramid or triangle consistent with our competitors.
Jeff Martin: Okay, that kind of leads to my next question. Do you anticipate more offshore utilization over the coming 12 months?
Ted Fernandez: More offshore?
Jeff Martin: Yes.
Ted Fernandez: Not, more consistent to our businesses other than we think that there is an opportunity in the EPM space that came with the acquisition that we did, that we really did not try to aggressively in 2014, that we're going to try to pursue, I'll call it with that we're clearly trying to pursue in 2015. So the answer to your question would be yes and it will be specific to EPM and we expect that leverage to come from the Uruguay facility and resource team that we acquired in the first quarter of last year.
Jeff Martin: Got it and then with respect to the channel partner opportunity. It sounds like, that's still very early stage. I mean, should we anticipate any contribution from that this year and if so, to what level might be a reasonable?
Ted Fernandez: The answer is, we don't expect to have favorable or unfavorable impact in what we're doing. However, we'd like to be able to demonstrate that opportunity is there and then be able to speak more specifically of then, what that opportunity would involve. We are - our 2015 plans do not include any HPE or IP or alliance related opportunity. It's purely organic growth consistent with the operations that you have seen throughout the year, which we've now kicked off 2015 with.
Jeff Martin: What kind of led to the notion of channel partnerships. I would imagine it's not something that has recently come up, but has there been a catalyst that's brought that more front and center, today?
Ted Fernandez: What a wonderful question, Jeff? It's called the Hackett Performance Exchange, HPE. By having conversations with clients on how we could integrate or how we could bundle HPE potentially with the sale of other software solutions. I don't know if you recall this or not, but one of the key tenants our Hackett Performance Exchange was not only the ability to extract and deliver these, what we believe are very valuable dashboards regarding a company's performance around very specific areas of the business, but coupled with HPE. We tightly coupled our best practices implementation intellectual capital to show how client could see a result from a software product and be able to extend their ability to take action on their own. If you want to call it, consulting on demand for lack of a better term. So it was that conversations in discussion in and around HPE, that strictly then led us to then have broader conversations and say, well if HPE was not there but somebody wanted to leverage the intellectual capital to improve the sale and delivery and value add of their own software solution offerings, why couldn't we simply just sell IP with our without HPE and we quickly came to the conclusion that we thought, we could now we'll have to only see if we can actually prove it to the market place.
Jeff Martin: And is that, going to be a process that's pulled by corporate clients or is that process where vendors see the opportunity and they want to incorporate it?
Ted Fernandez: I think, no well. We've had obviously ongoing discussions relative to HPE knowledge and those conversations have broaden because of what we just told you, what's the consequence of HPE then to some more direct conversation strictly on IP, not with the software offering and no, the answer is for us to for customers to take that to market through their channels and to entirely have help and enhance the products that they sell. And I don't know, if I've answered your question, but it would rely entirely on their channel.
Operator: Your next question comes from Bill Sutherland, Emerging Growth Equities. Go ahead sir, your line is open.
Bill Sutherland: I'll be quick, this is going to an hour for you guys. The FX impact, you guys didn't refer to, was it not notable?
Rob Ramirez: Was notable in Q4?
Bill Sutherland: And in your guidance for Q1?
Rob Ramirez: No, it's not going to be notable. The profitability is not going to be level, with fairly significant impacting us. Currently we anticipate in Q1, material.
Ted Fernandez: We're pretty well. If you want to call it covered or hedged. So simply for us, it will be primarily the impact of the taking whatever profits we make abroad and then they will translate at something less than a year ago because of the exchange rates, but at least for now it hasn't gone beyond that and then, this may be good or bad because Europe is at a lower level of profitability that has the historically that has a more limited impact on total results.
Bill Sutherland: Well, I get that. I'm not sure, how 20% move in the currency doesn't have some.
Ted Fernandez: Well, it has a 20% impact on.
Rob Ramirez: Profitability.
Ted Fernandez: On profitability that you end up translating over, but that profitability again it's meaningful, but in the total scheme of things at this point, it has been material. Bill.
Bill Sutherland: I'll translate that, as meaning you're doing great despite the headwind. So the ERP pro forma gross margin increase of 12 points. Rob is that, how would you characterize the factors for that?
Rob Ramirez: It's increase license sales in Q4 though. Carry a cost of sales basically on margin.
Bill Sutherland: It's increased, I'm sorry on what sales?
Rob Ramirez: In license sales.
Bill Sutherland: License sales.
Rob Ramirez: Correct.
Bill Sutherland: Okay, makes sense.
Ted Fernandez: They happen throughout the year, we don't always know the exact timing, but it's an activity that with the SAP channel has kind of resurfaced for us, that entire business that ERP business across the board reseller consulting as well as the AMS portion of that business have just, as you know they were trouble business four years, five years ago. It's just one of the great turnarounds in our business, one of the stories of our improved performance.
Bill Sutherland: So just sort of normalizing for that or I mean, I guess what you're saying Rob is, the pro forma gross margin getting north of 40%, is only going to happen in this license sales quarters for the moment.
Rob Ramirez: Correct.
Bill Sutherland: Okay.
Ted Fernandez: Not, if the long-term target.
Bill Sutherland: Of course, not.
Ted Fernandez: Yes. But as you know, Bill what's happened is two things right. Our mix has changed because of the EPM implementation business has become larger and that normally carries a lower gross margin than our benchmarking and transformation business. So what's holding that down even though that business continues to grow, is that comes in at a slightly lower gross margin, but the opportunity for us is to get the COS leverage on our entire business, that continue to improve. So we can bring our gross margins up across the board.
Bill Sutherland: And do you guys, don't provide or retention numbers, I don't at this point. I'm assuming it up both types.
Ted Fernandez: Retention, you're talking relative to our advisory clients?
Bill Sutherland: Yes, clients and just kind of overall.
Ted Fernandez: Yes, it is up. Both in the US and in Europe. So yes, our advisory business annual contract value, which we don't report any more did grow nicely and the clients that continue to use that service year-over-year has continued to improve, which is part of the reason why we said the advisory and benchmarking business in Q4 grew 15%. I just wanted people to know, that the wedge offerings are growing consistent with the overall growth we've reported in the quarter which I thought was important.
Bill Sutherland: Okay and then, not to try to lead you into some annual guidance, but I mean should we be thinking about the growth rate that you've kind of put out there for Q1 as a more sustainable number certainly than the Q4, which had the easy comp for international and so forth?
Ted Fernandez: The answer to that is, no. we continue to say that, our plan is to grow 6% to 8% excluding any FX that goes back always, but if we can stay north of 5% growth, Bill. We'll clearly be north of 10% on profitability and if it edges up at all then it quickly gets up to 15%. The leverage in our business is terrific.
Bill Sutherland: And particularly, you expand the pyramids. Sounds good. Thanks, guys.
Ted Fernandez: That's right and expanding the pyramid is complete opportunity.
Operator: At this time, I show no further questions. I would now like to turn the call back over to Mr. Fernandez. Go ahead, sir.
Ted Fernandez: Thank you, operator. Let me again, thank everyone for participating in our fourth quarter earnings call. We look forward to updating everyone again. When we report our first quarter. Take care.
Operator: Thank you for your participation in today's conference call.